Operator: Good morning. My name is Sylvie and I will be your conference operator today. At this time, I would like to welcome everyone to the Cielo Waste Solutions Operational Update and Q2 2022 Results Conference Call. Note that all lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session.  Thank you. Some of the statements on today’s call might contain forward-looking information. Listeners are cautioned not to place undue reliance on these forward-looking statements. Since a number of factors could cause the actual future results to differ materially from the targets and expectations expressed. The Company undertakes no obligation to update or revise any forward-looking statement, whether as a result of due information, future events or otherwise, unless expressly required by applicable securities law. For further information on risk factors, please see the Company’s press release dated December 16, 2021, or Cielo’s Q2 2022 Management Discussion and Analysis filed with the Canadian securities regulatory authorities and available on the Company’s website on SEDAR or by contacting Cielo directly. All amounts discussed today are in Canadian dollars unless otherwise stated. Mr. Gegunde. You may now begin. Please go ahead. 
Gregg Gegunde: Thank you, Sylvie. Good morning, everyone, and thank you for joining us today. I’m joined by my colleague, Stephanie Li, Chief Financial Officer; and Chris Sabat, Chief Legal Officer and Corporate Secretary. We appreciate the opportunity to provide additional context regarding our operational and corporate update press release from December 16th, along with our Q2 2022 financial results. We are pleased to provide greater visibility to our shareholders, as Cielo continues to advance the commercialization of our technology that transforms waste into fuel. As we move towards commercialization, Cielo continues to take steps towards the under -- the groundwork that is laid for long-term success and to reinforce our mission to create a cleaner energy future with a more responsible approach in addressing landfill waste. In the December 16th press release, we shared updates on both, the Aldersyde demonstration facility and the Fort Saskatchewan research and development facility. We continue to be on track with our schedule and commitments for both, the Aldersyde continuous steady-state production and optimization project, and the development of our Fort Saskatchewan 60 liter per hour pilot. Earlier this year, we experienced several processing related issues due to equipment reliability, performance, and plugging problems that contributed to extended periods of downtime at Aldersyde. One of the primary problems with maintaining steady-state production rates was the coking and mechanical plugging issues with our process. To better describe this, using your barbecue as an analogy, a fair comparison is the black material that forms on your grill. Over time this coking can accumulate, and in our case, it plugs pipes, impacts reliability of heat exchangers, pumps, and other process equipment. As I’m sure you can imagine that we’re cracking -- or pardon me, where coking causes any issue, it takes significant time and effort and cost to clean out our equipment. As I’ve described previously, we have committed engineering resources and time over the past two fiscal quarters to assess and diagnose the performance deficiencies and impediments to flow at a much deeper level. I’m pleased to say that we have identified several design changes, equipment modifications, and operational philosophy changes that are necessary to achieve the desired outcome. That is to achieve steady-state production of distillate, further improving the overall quality of the diesel and naphtha we produce from wood waste utilizing used motor oil as a carrier fluid. We are confident that these design changes for process will result in significant improvement in the quality of our distillate and minimize the stress on equipment and consequential maintenance on reliability issues that we have had -- which we have experienced. In our September 29th conference call, I discussed the changes that we made to the organization. We have bolstered our internal engineering strength with the implementation of internal experienced engineering team and strong leadership. We’ve implemented stronger control systems for managing our workflows and external engineering services focused on delivering on our timelines and commitments. At the operational level, we have strong leadership and have invoked key measures and controls for improving health and safety standards and management. We’ve implemented standards that improve operator accountabilities, operating cost controls, plant maintenance programs and reporting. We have been focusing on improving all aspects of our business performance metrics. And we are committed to continuously strive towards operational excellence and best practices across all aspects of our organization. At Aldersyde, we remain on track with our plan and executing the work required to achieve a steady-state mode of production. Engineering design has been completed for our first phase, equipment procurement and progress, and we plan to commence fabrication and construction next month in January of 2022. We are anticipating startup and commissioning in April of 2022, and after tuning the process, we expect to be in a production mode where downtime has been greatly reduced. We are excited about the anticipated positive impacts to the facility with the work that we are undertaking which includes an optimized inlet feed system, a drastically improved waste management system, and greater control over process and improved product distillation. As we continue to improve our process, the initial plans also included modifications and retrofits to the existing reactor. But after greater consideration to costs and functionality, we concluded that the best solution is to replace the existing reactor with the new reactor, implementing the design criteria learned and studied. Installation of the reactor will be scheduled to coincide with a planned maintenance plant turnaround currently scheduled for July of 2022. I want to emphasize that this will not impact the anticipated April 22 operational timeline, nor will it prevent us from operating the process to establish steady-state production flow. The new reactor will optimize our existing process by permitting a wider range of operating parameters and conditions as we continue to streamline the process. With these design and construction enhancements, we are aiming to achieve improved reliability, steady-state production and potential throughput increases, all of which are expected to drive revenue generation and bring per unit costs down. We are committed to continuously improve, optimize and build our learnings on what we will contribute to the inputs towards commercialization. In parallel with this work on the Aldersyde facility, we are also making progress on development of the Fort Saskatchewan research and development facility. In order to design and construct a full scale state-of-the-art waste to fuel facility at our Fort Saskatchewan site, we must complete the R&D facility which represents a scale-down version that will be equipped with the latest process control technology for data trending, system automation, remote monitoring and process analytics. We are frequently asked why the R&D facility is a necessary step in the evolution of Cielo. There are three primary reasons for this. One, Aldersyde is intended to produce revenue for Cielo. If we are using it as an extensive experimentation, we cannot use it for -- to its full capability to generate revenue. Two, the size of the Aldersyde facility is cost prohibitive. The reactor is 10 meters tall, the equipment is full size, and there are hundreds of meters of piping. It would be cost prohibitive to make incremental changes to test alternative designs. And three, Aldersyde was designed with a limited capital available to Cielo through its history that lacked some of the automation and measurement necessary to generate the material balance and energy balance calculations necessary to complete the engineering of a full scale facility. We cannot responsibly use Aldersyde as the basis for design for the next facility. We would likely leave significant value on the table. And when Cielo commits to building its next facility, it needs to clearly justify to its shareholders the benefits from the capital commitment that the Fort Saskatchewan full-scale facility entails. The R&D facility objectives include determining optimal reactor design for various biomass inputs and catalyst combinations that can maximize distillation production, improve its carbon intensity and establish stringent operational practices at Fort Saskatchewan, all critical information that cannot be obtained from Aldersyde, given its size and scope. Thus far, in 2021, we have completed the detailed engineering design, procured the necessary equipment and commenced construction preparation for the 60 liter per hour R&D facility at Fort Saskatchewan. During first quarter of 2022, Cielo intends to commence vessel and equipment fabrication along with structural fabrication. In the latter half of 2022, we expect to commission and start up the R&D facility, along with pilot testing and control experimentation. We remain on track with our previously communicated milestones announced in our November 12th press release. While taking these initiatives, we remain focused on health and safety measures that protect our people and the planet. As a responsible and trustworthy organization, Cielo is committed to ensuring our employees, contractors and partners stay safe, while also striving to minimize the environmental footprint of our operations. With our release last week, we also confirmed that Cielo has successfully eliminated all future royalty and refinery fees that would have been paid to 1888711 Alberta Inc., referred to as 1888, a firm from whom Cielo received an exclusive global license for the waste to fuel conversion technology. Consideration for this transaction included the issuance of 10 million common shares to Cielo, of Cielo to 1888. We now have full rights to and ownership of our proprietary and game changing technology, and the transfer of all intellectual property from 1888 to Cielo is also underway. By eliminating third-party fees with this closing, we expect to realize improved earnings potential going forward. I will now hand the call over to Chris Sabat, our Chief Legal Officer and Corporate Secretary, to provide additional context on the announced Board changes.
Chris Sabat: Thanks, Gregg. In prior press releases, webinars and quarterly calls, we would discuss -- we have discussed many of the changes to the Cielo organization. From the Board and executive team to the field, there have been many changes. The Calgary office has enabled Cielo to attract the necessary professionals to support new processes to manage costs, devise and execute the capital strategies necessary to support Cielo’s growth for 2022, and to ensure that the organization is ready to realize its full potential once Cielo attains steady-state production at Aldersyde and begins to move forward with the design of its first full-scale facility at Fort Saskatchewan. We believe that 2022 will be the pivotal year for Cielo and the organization will be ready. This month, we announced that Don Allan, Cielo’s Founder, President and the Board Chair, intends to retire as President in February of 2022, and that he attended his resignation as Board Chair. For continuity, Don will continue to serve as President until his retirement and will continue on as a member of the Cielo Board. Cielo is grateful for Don’s contributions and commitment to building the Company, and we wish him the best in his retirement. Gregg, Stephanie and I expect to jointly assume Don’s responsibilities as President and as such, we do not expect to replace this role. Mr. Larry Schafran, a current Board member, has assumed Don’s duties as Board Chair. Concurrent with these changes, we also announced the appointment of Ms. Sheila Leggett to our board. Sheila is a strategic leader. She has extensive experience with corporate governance matters, and Sheila has a background in sustainable resource development. Sheila’s skill set is expected to be one of great benefits to Cielo in this pivotal growth stage. As Cielo progresses forward towards the annual general meeting, Cielo intends to identify additional members or additional individuals for appointment to the Cielo Board, in order to provide additional expertise and oversight for the benefit of Cielo stakeholders. Shareholders will then have the opportunity to vote at the AGM in relation to the final composition of the Board. With the exception of the identification of additional members of the Board, we are very comfortable that the recent enhancements and streamlining of internal processes and structure will enable the Company to advance the commercial production at an accelerated pace with improved internal controls. We were all excited for all of the activity planned for Q1 and to the results of that work. Stephanie Li, our Chief Financial Officer, will now discuss the highlights of Cielo’s fiscal Q2 2022 financial results.
Stephanie Li: Thank you, Chris. Cielo filed the financial statement an MD&A for the three and six months ended October 31, 2021 after market closed yesterday, on December 21, 2021. Total assets increased by $8.5 million as at October 31, 2021 compared to April 30, 2021. This is mainly due to the increase in property, plant and equipment related to the asset purchase in Fort Saskatchewan, Alberta for $13 million and the construction activities at Aldersyde facility. These increases in assets were partially offset by the decrease in cash related to the continuous research and development activities, and also G&A expenditures. Total liability decreased by $1.9 million as at October 31, 2021 compared to April 30, 2021 due to the exercise of liability classified warrants, the conversion of convertible debentures and the decrease in accounts payable and accrued liabilities. These decreases in liabilities were partially offset by the mortgage loan for the asset purchase in Fort Saskatchewan, Alberta. The net loss for the three months ended October 31, 2021 increased by $1.9 million compared to the same period in the prior year. This is mainly due to the increase of $1.7 million in research and development expenses mainly related to the Aldersyde facility; the increase of $1.2 million in G&A expenses related to the salaries and benefits for additional employees hired to facilitate the growth of the Company, professional fees for TSXV filing, external audit and tax compliance services. These increases in expenses were partially offset by the decrease of $0.9 million in fair value loss of warrant liability. As at October 31, 2021, the Company had $7.3 million cash and a working capital deficiency of $8.2 million compared to $0.7 million deficiency as at April 30, 2021. The increase in working capital deficiency of $7.5 million was mainly due to the decrease in cash balance, which was used to fund research, development and corporate activity for the six months ended October 31, 2021; the addition of the mortgage loan for the asset purchase in Fort Saskatchewan, Alberta; and this is partially offset by the decrease in short-term warrant liability upon the exercise of warrants. The initial term of the mortgage loan will end in August 2022, and Cielo has the option to renew the loan for a further period of six months. Cielo is planning to either renew or replace the mortgage loan by the end of the initial term in August 2022. The company is currently in the process to generate additional financing, which may include raising capital, additional capital through equity or debt, or enter into strategic partnership. With our current liquidity and the go-forward plan, we believe that Cielo is well-positioned to deliver our strategic growth and commercialization plan. With that, I’ll hand it back to Gregg.
Gregg Gegunde: Once again, thank you for joining us on the call today and for your continued support of our progress. On behalf of our executive team, I would like to reiterate our appreciation for Don Allan’s contribution to Cielo over the past 17 years, and to remind shareholders that we remain true and committed to Cielo’s vision and strategy moving forward. Our staff, the management team and I look forward to an exciting new year in 2022, as we plan to achieve our goals and plans at Aldersyde and Fort Saskatchewan. We wish everyone a very safe and wonderful Christmas holiday, and all the best in 2022. With that we will now take questions. Operator?
Operator: Thank you, sir.  And your first question will be from Ernie, private investor. Please go ahead.
Unidentified Analyst: Hey guys. I was just wondering, you guys have to do a new research and development plant or training for each different feedstock or well this -- the feedstock be able to be processed through the same reactors and handling system?
Gregg Gegunde: Hi, Ernie. Thanks for the question. It’s a good question. No, what we intend to do is, with the research pilot that we’re building, initially we’re designing it to process wood waste. But we do have in our budget -- once we’re done with the wood waste experimentation, our plan is to move into the plastics area. And for that, we might even make some minor modifications to the unit, not to the entire system but basically to the waste management side of the reactors, and on the inlet feed system. But the -- when you think of the engine room, or the heart of the machine, the reactors, the type of catalysts that we use, heat exchangers, pumps for circulating product through, that all remains the same. So, it’s minor modifications that we would add to the pilot on the front end, and on the waste management side of it.
Operator: Thank you. Next question will be from Gerry. Please go ahead.
Unidentified Analyst: I think this must be Gary. Is that right, operator?
Operator: Mr. ?
Unidentified Analyst: Yes. 
Operator: Thank you.
Unidentified Analyst: Good afternoon, gentlemen and Stephanie. I’m a retail investor here in Toronto. I have a fairly substantial position in CMC. And I’m also a former CFO. So, I understand the transparency and the governance that you’ve now brought to the corporation. And I applaud you for that. I think there’s definitely been a change in the last couple of months, at least. I would say that -- I think there’s a lot of individuals that have been dismayed, had some of the previous comments that were made in terms of the commercialization process, and timelines as well as the continuous flow process. I think you’ve sort of reset the bar in that respect. My question to you is, looking out sort of on a two-year basis, what amount of incremental capital do you foresee that needs to be raised, either through debt or equity to execute prudently and conservatively on your plans?
Stephanie Li: Gregg, do you want to take this question?
Gregg Gegunde: Sure. Go ahead. And I can follow up, Stephanie.
Stephanie Li: To answer your question, our major plan up until the end of 2022 is we focus on the R&D facility in Fort Saskatchewan and also the Aldersyde facility to achieve steady-state production in order to generate revenue. Without considering the revenue to be generated from the Aldersyde facility from a capital requirement perspective, we anticipate somewhere between $50 million to $70 million requirement. Beyond 2022, we’re still in the process of finalizing the budget and also decide what would be the cost requirement for the full-scale facility that needs to be built in the Fort Saskatchewan site. I hope that answers your question.
Unidentified Analyst: Yes.
Operator: Did you have any further questions, sir?
Unidentified Analyst: I have a follow-up but I’ll let others go first, if you don’t mind.
Stephanie Li: Gary, do you have a follow-up question?
Unidentified Analyst: With respect to the recent stock option plan that was approved, have there been, since October 31, any management or executive stock options been granted? And if so, how many and what strike price? Thank you.
Stephanie Li: Nothing has been granted at this time to management or the Board or any employees of Cielo. And Cielo has the responsibility to make that announcement to the public and to the investment community if any equity compensation is issued or rewarded to management team, the Board or employees. At this point, the answer is no.
Operator:  And at this time -- I’m sorry. We do have a question from . Please go ahead.
Unidentified Analyst: Thank you for the transparency here. I’m an individual investor as well. Well, I just wanted to get an idea about -- I know you shared on the website we have the Board of Directors, we have the management team. But in terms of actual staff, including all the engineers, how many are there right now, your total staff, and we’ve been told about your Calgary office opening up and all of that. So, just wanted to get an idea about the total stuff now, and is there any plans and in 2022 and expanding that and bringing in more staff?
Gregg Gegunde: Our current headcount is 23 employees across the organization. So, that is a combination that encompasses the management team and our Calgary staff and our field -- or our plant operators. In that composition of staff, we’ve got an engineering team that we’ve built over the last two quarters, really, you’ve got an engineering manager that oversees all engineering activity. We’ve got a plant superintendent as well. I’ve got another skilled process engineer that actually has an office right at our facility. And looking into the future here, we’re looking at hiring another three to four more engineers and technical support experts. The other thing that I should say as well, other than the individuals that are directly employed by Cielo is we do have an extensive support group, which is three PhD level individuals that consult to us on technical advice. And we’re also engaged with a local engineering firm in Calgary as well. But yes, going into the next year, like I said, we’re going to add several more technical experts and other folks that we need support with as the Company continues to move forward here.
Operator:  Next, we do have a follow-up from Gary. Please go ahead.
Unidentified Analyst: With respect to the $12 million mortgage that’s outstanding and it’s coming due in not too distant future, could you give me a little bit of a reflection, I guess, in terms of why you would have put in a special covenants or would have allowed special covenants that would be tied to the -- effectively the share price on a fairly singly traded stock of a company that’s obviously pre-commercialization and pre-monetization? It seems to be that is a little bit of an issue now in terms of you guys having to be paid back $1 million and now you’re in discussions about another $2 million payment because the market capitalization of the Company has dropped. So, I’d like to understand the thought process as to why you agreed to that? And how you can extricate yourself from that kind of situation?
Stephanie Li: So, the first thing I’d like to mention is, the current management team, Gregg, myself and Chris, we were not part of the decision process, but we’re in the process right now to negotiate with lenders, to either modify or get rid of that special loan covenant. Potentially, we also have the option to replace that mortgage loan of $12 million with other debt. So, to answer your question in short, we’re in the process of try to minimize the impact of that special loan covenant to Cielo. As of today, our lenders have been very open and very cooperative. So, we don’t really have to pay back that $2 million right away or anytime in the near future. So, that’s as far as I can share. Once we have the signed a payment, then we will make an announcement to the investment community, so that everybody is fully aware of the status.
Unidentified Analyst: Stephanie, if I might just follow-up, were you the CFO at the time when this loan was taken out? And with this loan because of its materiality, it had been approved by the Board of Directors back in I guess it was August?
Stephanie Li: So, I was the CFO. The loan was approved by the Board of Directors. But in terms of negotiation of the loan, the discussion happened actually even before I joined Cielo. And with respect to all the decisions, including the special loan covenant, unfortunately I was not involved. I hope that answers your question.
Unidentified Analyst: Yes, you’ve given me an answer. Thank you very much for that.
Stephanie Li: Yes. But we’re being very proactive working on this special loan covenant. And I’m pretty confident and have reasonable assurance that this is not a concern for Cielo.
Operator: Your next question will be from Levi Phillips.  Please go ahead.
Unidentified Analyst: I was wondering if we could get an update on the desulfurization process if it’s in operation.
Gregg Gegunde: Levi, so, the desulfurization process, I believe that the last update that we had on it was in late September when we commissioned the unit, just taking a little bit back in time the organization that talked a lot about coming online in the summer of this current year. We initially had some issues with the catalyst not being sulfonated. We took care of that. We commissioned the unit. We test ran it and improved the result. It does work and it meets all the standards and criterion that we anticipated it to do. Since then, we have not run it. We have not had reason to run it at the time, because as I stated in my discussion here, and as we talked about, we have had some issues with operating the facility on a steady-state continual flow basis. So, when you think back at the last two quarters of this year, we have been troubleshooting trying to understand the mechanisms at play here as to why we’re having the plugging issues, the coping issues, and other behavioral problems with our equipment. And as I mentioned that we’ve gotten that under control now in terms of understanding what the issue is. We’ve got a plan in place. We’re taking the right steps to correcting the situation and getting the facility back up and running by the end of the first quarter of this upcoming year, and continuing to tweak it and optimize it. We’re not going run the desulfurization unit until we get into our continuous flow mode, where we are producing diesel on a continual basis. And we choose to remove the sulfur content out of it. So, while the desulfurization unit is an important part of our process, it is not the critical part for enabling us to produce in the process in the fashion that we intend to.
Operator: Thank you. Next question will be from a Carmen Calderaro.  Please go ahead.
Unidentified Analyst: I want to find out, are you guys still running the plant in terms of trying to get continuous flow, and what level are you at right now?
Gregg Gegunde: Okay. Carmen, good question. Currently, as we sit down, we are not running the plant. We were running it in kind of a limber mode over the last three months. And again, the reasons for that were that we did not want to open full throttle on the thing because we were getting those issues that we -- that I mentioned. It took us some time to really troubleshoot and understand what the mechanisms at play more that were causing the problems and the concerns that we had. So, we took the plant down just recently. We put it into a safe steady suspended mode right now, because as we speak, we are starting to unbolt parts and pieces and pipelines at the facility in preparation for the work that we intend to do here. So, no at the moment, we’re not currently running anything right now.
Operator: Thank you. Your next question will be from Andrew Aegis.  Please go ahead, Andrew.
Unidentified Analyst: My question is what is the current state of the partner, Renewable U? Thank you.
Chris Sabat: Hi, Andrew. Thanks for the question. It’s Chris Sabat speaking. So, as it concerns Renewable U, the status hasn’t changed certainly. If it does change, we will address that through a press release. So, as things stand, there are memorandums of understanding in place in relation to nine different territories. We’re focused primarily on the potential of a Dunmore location and negotiating with Renewable U, the terms of any joint arrangement agreement that we might enter into. And so, as I’m sure you can appreciate this is the first MOU that has proceeded through to the negotiation. And so, there is a lot of items up for discussion. And at the end of the day, what we want to do is make sure that we’ve extracted the best possible deal for Cielo shareholders. So, we’re going to continue down that path as far as the negotiations. And when we have a resolution or a conclusion, we’ll update the investing market through a press release. Thank you for the question.
Operator: Any further questions, Andrew?
Unidentified Analyst: That’s all. Thank you.
Operator: Thank you. And at this time, Mr. Gegunde, we have no further questions registered. Please proceed.
Gregg Gegunde : Well, thank you very much. I wanted to reiterate our appreciation of everybody joining us on the call today. We are very much looking forward to a new year in 2022. We’re very excited about the projects that we have underway. And we feel that this Company will be in different state in this upcoming year. So, we really look forward to it. With that, I want to wish again everybody a very Merry Christmas and all the best in the New Year. Thank you for now.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.